Operator: Good day. And welcome to the Progress Software Corporation Q3 2019 Investor Relations Call. At this time, I'd like to turn the conference over to Mr. Brian Flanagan, VP of Investor Relations. Please go ahead, sir.
Brian Flanagan: Thank you, James. Good afternoon, everyone. And thanks for joining us for Progress Software's fiscal third quarter 2019 earnings call. With me today is Yogesh Gupta, President and Chief Executive Officer and Paul Jalbert, our Chief Financial Officer.Before we get started, I'd like to remind you that during this call, we will discuss our outlook for our future financial and operating performance, corporate strategies, product plans, cost initiatives and other information that might be considered forward-looking. This forward-looking information represents Progress Software's outlook and guidance only as of today, and is subject to risks and uncertainties. Please review our Safe Harbor statement regarding this information, which is available in today's earnings release, as well as well as in the Investor Relations section of our Web site at progress.com.Progress Software assumes no obligation to update the forward-looking statements included in this call, whether as a result of new developments or otherwise. Additionally, on this call, the revenue, operating margin, diluted earnings per share and adjusted free cash flow amounts we refer to are on a non-GAAP basis. You can find a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP numbers in our earnings release issued today. Also, please note that all 2018 amounts have been adjusted to reflect ASC 606, which we adopted effective December 01, 2018, using the full retrospective method.Today, we published our financial press release on our Web site. This document contains the full details of our financial results for the fiscal third quarter 2019, and I recommend you reference it for specific details. Today's conference call will be recorded in its entirety, and will be available via replay on our Web site in the Investor Relations section.And with that, I'll now turn it over to Yogesh.
Yogesh Gupta: Thank you, Brian. Good afternoon everyone, and thank you for attending our third quarter earnings call. As you've seen in this afternoon's press release, we had a really strong Q3 performance, sustaining the momentum we've seen in our business throughout this year.Both revenue and EPS were well above the high end of our guidance range and cash flows were very solid as well. The over performance was driven by our OpenEdge segment, which included better-than-expected revenues from Ipswitch and by the timing of deals in our DCI segment. I continue to be encouraged by the performance of our core business.Based on our consistently strong execution and the opportunities we see within our segments, we are again increasing our annual guidance for both operating margin and earnings per share. In addition, despite additional FX headwinds as we head into the fourth quarter, we are increasing the midpoint of our revenue guidance by over $1 million.As I mentioned, Ipswitch performed very well during the quarter. And we remain ahead of expectations with our integration efforts and the realization of cost synergies, helping to drive both revenue growth and profitability upside. This was the first full quarter of Ipswitch operations within our results. And I'm more than convinced than ever that this acquisition is proving to be a winner for us.Paul will provide more detail on our Q2 results, but I would like to focus my remaining remarks on our strategy moving forward and on some of our financial goals for FY20 and beyond. Underpinning our strategy, of course, is our strong and stable core business, which has high levels of recurring revenue and as I've stated many times, a flattish revenue growth profile. And with the success of Ipswitch, we've demonstrated that accretive M&A can drive meaningful inorganic growth along with increased scale and cash flow.We believe our success with Ipswitch is repeatable. And by allocating capital to accretive acquisitions, we can leverage our consistently strong cash generation to replicate the Ipswitch playbook and drive real shareholder value over the long-term. Therefore, our major focus for FY '20 and beyond will be on maintaining a strong and stable core business augmented by M&A that is similar in profile to Ipswitch. We believe that successful execution of this strategy can produce 10% to 20% annual inorganic revenue growth with a goal of doubling our revenues over five years.Key to this strategy will be maintaining our disciplined criteria for acquisitions. To reiterate, acquisitions must first be complementary to our business in terms of product, audience and growth profile, with high retention rates and high levels of recurring revenue. They must also be cost synergistic and accretive to earnings and cash flow, with margins after synergies that are consistent with our overall operating margins and a return on invested capital that is well above our weighted average cost of capital.We are focused on companies within the infrastructure space, particularly in the areas of application development, data integration and data quality, database and database management and DevOps. We've been actively building a pipeline of opportunities, which includes carve outs from strategic. Our experience in operating businesses with long-standing customer bases and high levels of recurring revenue is a real advantage for us. We can utilize our operating model to scale acquired businesses and provide a better long-term experience for their customers, which can be a deciding factor for many sellers.The market remains hypercompetitive, making it difficult to predict the timing of transactions as we stay disciplined in our approach. By choosing only targets that will meet our strict criteria like Ipswitch, we believe an accretive M&A strategy will drive significant scale and cash flows and will be key to maximizing shareholder value over the long-term.As we execute on this strategy, we will maintain an extremely shareholder friendly capital allocation policy. In addition to M&A, our strong cash flow generation enables us to also return meaningful amounts of capital to shareholders in the form of dividend and share buybacks. We remain committed to allocating approximately 25% of our annual free cash flow to dividend. In fact, we announced today that our Board has approved an annual dividend increase of $0.04 per shares, beginning in the fourth quarter of this year. This is the third year in a row that we have increased our dividend since it was established in 2016, reflecting the confidence we have in our ongoing cash generation, as well as our commitment to returning capital to shareholders.Turning to share repurchases. We continue to believe that they provide a solid low risk return to shareholders, and our target will be to buy back shares at a level sufficient to offset the annual dilution from our equity plans. Of course, we have the additional flexibility to increase, reduce, or suspend buybacks depending on market conditions and on the size and timing of M&A activity. As we stated at the time of the Ipswitch acquisition, we do not intend to repurchase any shares in Q4 of this year.Shifting gears, as you know, we've also been targeting organic growth in the cognitive modern application development market. In late 2018, we began to ramp up our sales and marketing efforts to take advantage of the increased interest we saw in our Kinvey platform. However, after 12 months of competing in this market, we have not seen the level of traction and bookings acceleration we had hoped for. Although, our pipeline did expand as we ramped up our sales and marketing efforts, the number of deals and new customers we obtained does not justify our level of resources and investment.We are disappointed in this development. And while we still believe there're opportunities for us within the modern application development space, we are not expecting a meaningful contribution from our Kinvey platform for the foreseeable future. And as a result, we are reducing our current and ongoing spending levels in this area. Coupled with our solid core business and the inorganic growth we can drive through accretive M&A, this decision will contribute to higher margins and drive meaningful shareholder value.Turning to FY '20. I want to provide a preliminary directional view of our expectations for a few key financial metrics. We will provide more specific guidance in January. But we currently see revenue growth of 4% to 5% for next year, driven by the following; first, a full year revenue contribution from Ipswitch versus only seven months in 2019; second, flattish revenue for our OpenEdge and AD&D segment; and lastly, although, the ACV of our DCI segment will remain unchanged for FY20 at $32 million to $33 million, we do expect a year-over-year decrease in DCI revenue of approximately 15% due to the timing of OEM renewals.We are targeting operating margins to further expand in FY20, increasing an additional 100 to 200 basis point from our FY19 guidance of 37%. This is a reflection of our ongoing productivity improvement, as well as the reduced investment in our Kinvey platform that I discussed earlier. We remain committed to operating as efficiently as possible. And given our current profile, we are targeting operating margins in the high-30s range, going forward.In summary, I'm really proud of our execution over the first three quarters of 2019. Our core business remains healthy and stable, and Ipswitch has performed even better than we had planned over the first four months, making it an excellent model for future acquisitions. We will work hard to close out this year with a strong Q4, and I'm confident that we can achieve our full year financial target for FY19.We will continue to focus in Q4 on the ongoing integration of Ipswitch and on further executing on our accretive M&A strategy. I am very excited about our positive outlook for FY20, as well as our longer-term inorganic growth opportunity. I believe that through hard work and execution, we can achieve our goal of doubling the size of the Company in the next five years, which will drive significant shareholder value over that time.I'm now going to turn things over to Paul to review our Q3 performance in more detail and to outline our financial expectations for Q4 and FY 2019. Paul?
Paul Jalbert: Thank you, Yogesh, and good afternoon, everyone. As a reminder, all financial results that I'll be referring to in my remarks are on a non-GAAP basis. I'm very pleased with our third quarter financial performance. Total revenue came in at $115.5 million, which was $3.5 million above the high end of our guidance range.Our over achievement was primarily driven by better-than-expected licensed sales for Ipswitch, higher maintenance revenue for OpenEdge, and the earlier than expected signing of several large OEM deals within our DCI segment. Our earnings per share was $0.75 for the quarter, $0.05 above the high end of our guidance range due to the higher than expected revenue.Looking at consolidated revenue for the quarter as compared to Q3 of last year, total revenue of $115.5 million was 25% higher than a year ago at actual exchange rates, and 26% higher on a constant currency basis. This includes a negative $1.4 million impact due to foreign exchange fluctuations, which was 400,000 greater than our expectations.License revenue was $30.8 million, increased by 35% from a year ago at actual exchange rates and by 37% on a constant currency basis. The increase was due to the license revenue from Ipswitch, as well as the renewal of higher number of multiyear term OEM contracts within our DCI segment as compared to last year.Our maintenance and services revenue was $84.7 million, an increase of 21% year-over-year at actual exchange rates and 23% on a constant currency basis. This increase was again primarily due to the addition of Ipswitch, but we also achieved slight maintenance growth in both our OpenEdge and AD&D products.Turning to our revenue by segment with all the comparisons at constant currency, OpenEdge revenue was $88.8 million for the third quarter, up 29% versus Q3 2018. Now as a reminder, Ipswitch has been reported as part of OpenEdge segment, and was a primary driver behind the increased revenue. License sales from our OpenEdge partner channel continue to be stable, including a solid quarter for SaaS related billings from our ISV partners who offer their applications in a cloud. We once again achieved maintenance renewal rates of well over 90% during the quarter, for both OpenEdge ISV partners and direct enterprise customers.Turning to our DCI segment. Revenue was $8.8 million for the quarter, nearly double the revenue in Q3 last year. We had projected a significant year-over-year increase for Q3 based on the timing of renewals of multiyear deals, but we also completed several additional large OEM renewals during the quarter that were not expected until Q4. Although, the timing of these early renewals drove higher than expected revenue for Q3, our view for the full year has not changed.As a reminder, our results fluctuate quarterly and annually for the DCI segment due to the timing of OEM renewals and the associated accounting treatment under ASC 606. As Yogesh stated in his remarks, while in fiscal 2019 we are benefiting from the timing of these multiyear renewals, we expect next year's revenue to be impacted by smaller number of renewals in 2020. For these reasons, we believe annual contract value remains the most effective way to evaluate our DCI business.We continue to expect ACV to be between $32 million and $33 million for 2019 consistent with 2018. Since the economic value of our DCI OEM contracts is very steady and predictable, we do not expect ACV to fluctuate in a meaningful way going forward.Turning to our AD&D segment. Revenue was $19.4 million for the quarter, down 1% compared to Q3 2018. The decrease was due to slightly lower license and service revenue, partially offset by a smaller increase in maintenance. Total bookings were $19.4 million and are tracking well against our full year expectations.The total revenue by geography with our international regions at constant currency; North American revenue was $66.8 million, up 34% versus Q3 2018; EMEA revenue was $37.7 million, up 15%; Latin America revenue was $5.8 million, up 26%; and Asia Pacific revenue was $6.7 million, up 20%. Total costs and operating expenses were $69.7 million for the quarter, up 68% from Q3 2018. The increase was primarily due to the addition of Ipswitch, and was in-line with our expectations.Operating income for Q3 was $46 million, an increase of $13 million or 40% versus Q3 2018. Our Q3 2019 operating margin was 40%, an increase of more than 400 basis points over Q3 of last year and above our expectations due to the higher than anticipated revenue for the quarter. Q3 EPS of $0.75 was $0.20 or 36% higher than last year. The increase was primarily due to the higher revenue for the quarter, including the contribution from Ipswitch, which was partially offset by a negative $0.01 impact from exchange rates.Moving on to a few balance sheets and cash flow metrics. The Company entered the quarter with a strong balance sheet; cash, cash equivalents and short-term investments of $145 million. Our debt principal balance at the end of Q3 was $299 million. DSO for Q3 2019 was 53 days, up 11 days sequentially and up 10 days from Q3 of last year. The increase was due to time of billings and associated collections in the quarter.Deferred revenue was $161 million at the end of the third quarter, up $25 million compared to Q4 of 2018, which was due primarily to the addition of Ipswitch deferred revenue balances. As a reminder, our deferred revenue balance does not include Ipswich pre-acquisition deferred revenue, which is eliminated in purchase accounting under GAAP. We include this revenue in our non-GAAP results and guidance to better reflect a true business performance. Adjusted free cash flow was $27 million for the quarter compared to $21 million in Q3 of last year. Year-to-date, adjusted free cash flow was $92 million compared to $97 million in 2018.I'd now like to turn to our business outlook and guidance for fiscal 2019 and Q4. Our revised full-year guidance is for 425 to 428, despite an additional $1.2 million of FX headwinds since we last issued guidance, of which, $800,000 impacts Q4. This is an increase of $3 million on the low end with no change to the high end.Turning to operating margin and earnings per share. Based on our ongoing efforts to run the business as efficiently as possible, as well as the reduced investment in our Kinvey platform that Yogesh discussed, we are increasing our annual guidance for both of these metrics. We are raising our guidance for 2019 operating margin to 37%, an increase of 100 basis points at the low end. For EPS, our guidance is now $2.63 to $2.65, an increase of $0.11 at the low end and $0.08 at the high end compared to our prior guidance.Now as a reminder, we are not planning on repurchasing additional shares during 2019. We expect to resume share repurchases next year and we'll provide more detail when we issue our annual guidance for fiscal '20 in January. Our guidance for adjusted free cash flow is $125 million to $130 million, unchanged from our previous forecast. And our expected tax rate is approximately 19%, also unchanged.Based on current exchange rates, total expected negative currency translation impact on our 2019 revenue is now $7.4 million, an increase of $1.2 million from the guidance we provided in June. The negative impact of exchange rates on our full year EPS is now $0.06, an increase of $0.01 from our prior guidance.Turning to our guidance for Q4 2019. In light of our Q3 revenue overachievement, we expect revenues to be between $116 million and $119 million, a year-over-year increase of 18% to 21%. The increase is primarily due to the inclusion of Ipswitch revenue, as well as a significant increase in DCI, which is expected to grow more than 90% due to the renewal of higher number of multiyear term OEM contracts as compared to Q4 last year. The total year-over-year currency translation impact on our Q4 revenue is expected to be a negative $1.3 million. We expect earnings per share of $0.73 to $0.75 for fourth quarter compared to $0.54 in Q4 of last year, an increase of 35% to 39%.This is in part related to the Ipswitch contribution, but also to our ongoing efforts to manage our business efficiently. Based on current exchange rates, the expected currency translation impact on our Q4 EPS is expected to be negative $0.01. We expect our fourth quarter and full-year GAAP results to include a restructuring charge of $2 million to $4 million related to the reduced investment in our Kinvey platform. In light of our reduced expectations in this area, we will also be assessing the carrying value of the associated intangible assets during Q4, expect to have a material reduction in the carrying value of those assets for GAAP purposes. As a data point, the total book value to these intangibles was $24 million at the end of the third quarter.In closing, Q3 was another solid quarter for us, and we are well positioned to achieve our financial goals for 2019. Our integration efforts for Ipswitch remain on track, and we expect to have substantially all of the $15 million of cost synergies in place by the end of 2019, well ahead of schedule.I'm pleased that we were again able to raise guidance for both operating margin and EPS, which reflects our ability to operate our business efficiently. Our cash flows are strong, our overall business is healthy, and I look forward to continued strong execution in Q4, as we close out a very successful 2019. In addition, we believe the success of our Ipswitch acquisition represents a model that we can repeat in the future, enabling us to scale our business further as we look ahead.With that, I'd like to hand it over to Brian for Q&A.
Brian Flanagan: Thank you, Paul. That concludes our formal remarks for today. I'd now like to open up the call to your questions. I ask that you keep your remarks to your primary question and one follow-up. I'll now hand over to the operator to conduct the Q&A session.
Operator: Thank you [Operator Instructions]. We'll take our first question today from Steve Koenig with Wedbush Securities.
Steve Koenig: So one quick one on Ipswitch, and then a follow-up so cost and revenue outperformance. So should we expect that they're on track for beating that $42 million that you're expecting this year? I believe that was a number on revenue. And can you give us any sense of contribution in the quarter?
Yogesh Gupta: So as you know, we are not, Steve, breaking out specific revenue contribution. But yes, they are ahead of the $42 million plan that you said, for the year.
Steve Koenig: And then on the -- so on the free cash flow guide. I'm wondering given the reduced investment in Kinvey and then the Ipswitch outperformance and OpenEdge did well in Q3 too. Maybe just some color on the potential for free cash flow upside, maybe why -- could the guidance -- why can't be better, I guess, is the question there? And if I could slip one in on the margin improvement for next year, that looks promising. And I'm wondering, are there catalysts for -- and as you continue to do acquisitions, are there catalysts for doing better than the rule of 40 as you gain critical mass and gain operating leverage as a result of that? Maybe just kind of how should we think about the long-term model?
Yogesh Gupta: So let me start with the second one first, and then I think, Paul, can discuss the cash flow, Steve. So we actually see our margin expectations going up, as you said, in part due, of course, our reduced investment in our Kinvey platform and in part due to our ongoing focus on running our business as efficiently as possible.We of course, expect our margin next year to be 100 to 200 basis points higher than the 37% guidance for FY '19.We believe that our margins at that level are extremely competitive, but we also always strive to run our business as well as we can. And as we pursue our accretive M&A and scale the business up, we'll continue to look for additional opportunity, Steve. So that's the way we see it going forward.
Paul Jalbert: Steve, on your question of cash flow, you're right. So we're guiding 125 to 130, right, so about $92 million year-to-date. We think given the actions that we're taking and most of those are in the fourth quarter, you're not really going to see the cash benefits of that until 2020. So as I said it before, our guidance, we're comfortable with the 125 to 130 for the year.
Operator: Next we'll hear from Matthew Galinko with National Securities.
Matthew Galinko: Do you think, just given the pivot out towards M&A and away from the organic growth strategy is there sort of Ipswitch sized, kind of remember we should be thinking about? Or do you have the infrastructure in place to do a little bit more than that? I'm just kind of curious how you think about your capabilities now?
Yogesh Gupta: So Matt, first of all, we think that we have a very strong team in place, and we have the right infrastructure in place to be able to do these acquisitions with on a regular basis and in a repeatable model. In terms of the size of the acquisition, the sweet spot for us is 10% to 20% of our revenue. That doesn't mean we won't do something slightly smaller if it shows up, or if something bigger shows up that is really going to make the right impact, we would look at that as well.So we're not hard constrained on the 10% to 20% range, but that is a very effective range in terms of what we can acquire and integrate, as you saw with Ipswitch as well. So that's our sweet spot. We actually continue to be very disciplined about looking for these. And so when you are that disciplined,you actually are looking at it, of course, many more than we actually go after because of the discipline that we have. And because of that, size can be somewhat bigger or smaller.
Matthew Galinko: And then, maybe a little bit more on Ipswitch. Now, that you've operated it for a little while. I'm curious if you're willing to go into a little bit more detail on which of its products are outperforming? I assume it's not necessarily the legacy stuff and maybe it's sort of the newer stuff. But just kind of curious what you're seeing and what you're learning about how you're selling into the customer base, and how that matches with your existing channels? Thank you.
Yogesh Gupta: So as you know, there are two main product lines at Ipswitch in two specific market segments they're in; one is in the area of the data movement; and the other is in the area of network management. Wonderfully for us, both those businesses are doing well. So we are really excited about that. Our go-to-market for Ipswitch has a significant indirect component to it through distributors and resellers. And I think that being part of a larger publicly traded company, I think that creates a level of comfort there as well in our organization, both the Ipswitch folks that have come on Board, as well as the progress people that are working with them.I have done a really, really good job of working with our indirect channels to continue to the momentum that we have there. We are also selling direct. So I don't want to imply this only in direct. There is a direct component to that business as well, both sides of those channels are doing well. So we're actually quite excited about this, Matt that Ipswitch products are performing well across the board.
Operator: We have a question from Mark Schappel with Benchmark.
Mark Schappel: Yogesh, with respect to your prepared remarks around the Kinvey business. I was wondering if you could just go into some further detail of why you're scaling that business back so meaningfully. I mean, obviously, you're seeing some deterioration in your pipeline, or just as a materially. Is it materializing the way you thought it would? I was wondering if you just go into a little bit more detail there. And also to any options, maybe different options around the Kinvey business, like moving it off to a channel or even selling the business, per se?
Yogesh Gupta: Yes so, of course. So, yes, as you know, as we have ramped up our investment in this area beginning late last year, we did see increased lead flow and pipeline building. And so we have an expectation that bookings would begin to accelerate in the six to nine month later or Q2 timeframe of this year. However, we have not seen the steady acceleration of deals and new customer wins that would justify our level of investment and effort. And so we now see quite strongly that reducing our investment is the right move for our shareholders at this time.We're not abandoning it by any stretch of the imagination. So we continue to support our customers. We continue to have this effort still ongoing, but a significantly reduced level. And we believe that there are opportunities for us within modern application development going forward as well. But we don't see a meaningful contribution in the foreseeable future. So given all that, it is our strong belief that our shareholders are better served at this time by our ongoing focus on running our business as efficiently as we can, and augmenting that by accretive M&A to deliver greater value.
Mark Schappel: Paul, question for you. Given the good quarter and the increased guidance for the fiscal year here, I was surprised to see that free cash flow guidance was not being raised. Any thoughts there?
Paul Jalbert: Yes. I think, as I mentioned to Steve, right. So year-to-date, we're at $92 million and we guided $125 million to $130 million. We're comfortable with that there. I think some of the savings that are coming about as the reduction in our investments in Kinvey, are not really going to be fully seen until 2020.
Operator: At this time, there are no further questions. I will now turn the call over to Mr. Flanagan for any additional or closing remarks.
Brian Flanagan: Thank you all for joining the call today. As a reminder, we plan on releasing financial results for our fiscal fourth quarter of 2019 on Thursday, January 16, 2020, after the financial markets close and holding a conference call the same day at 5 p.m. Eastern time.I'll now turn the call back over to Yogesh for his closing remarks.
Yogesh Gupta: Thank you, Brian. We've had a great first three quarters and are well positioned for success in 2019 and beyond with continued strong execution and a focus on repeatable accretive M&A. This is an exciting time for Progress, and we thank you for your continued support. Thank you for joining us on our call today. And I look forward to meeting and speaking with many of you over the coming months. Bye, bye.
Operator: That does conclude today's conference. Thank you for your participation. You may not disconnect.